Operator: Thank you for standing by ladies and gentlemen and welcome to the Navigator Holdings Conference Call on the Fourth Quarter and Fiscal Year 2013 Financial Results. We have with us Mr. David Butters, Chairman, President and Chief Executive Officer; Mr. Niall Nolan, Chief Financial Officer; Mr. Oeyvind Lindeman, Chief Commercial Officer and Mr. Tommy Hjalmas, Chief Operating Officer of the Company. At this time all participants are in a listen-only mode. There will a presentation followed by a question-and-session. (Operator Instructions). I must advice you the conference is being recorded today, Tuesday March 18, 2014. And I now pass the floor to Mr. Butters. Please go ahead sir.
David Butters: Thank you, Donna. I’d like to welcome everyone to the first earnings conference call for Navigator Gas. I particularly welcome all our new shareholders who joined us through our November IPO. My brief introductory comments will be followed by a commentary, fourth quarter operating results by Niall Nolan, Chief Financial Officer. After which we’ll open the call to a question and answer period. Both Oeyvind Lindeman, our Chief Commercial Officer and Tommy Hjalmas our Chief Operating Officer will be [available] for the Q&A period. Now we finished the year in excellent shape and upon reflection 2013 particularly a good year for us and with considerable accomplishment and growth. We successfully integrated into our fleet the 11 AP Moller Maersk vessels at agreed to acquire at the end of the prior year, a fleet by the way often under-estimated by financial investors. By the end of the year we owned 23 handysize vessels and had one additional chartered in vessel under our control. We organized an international banking syndicate successfully replacing 13.8 million shares with a broad diverse group of investors. The proceeds for the Company net of all expenses amounted to approximately 156 million. Now I understand that the magazine Marine Money voted us the IPO Deal of the Year. I don’t know if we can take that to the bank but I’d rather have it than not. We also concluded agreements to construct 10 new vessels, including a 35,000 cubic meter ethane carrier, which upon its delivery in mid-2016 will be the largest of its kind in the water. And we further hold options for three additional 35,000 carriers. We continue to believe that the U.S. is on the verge of becoming a major exporter of ethane, an important petrochemical feedstock to any number of European and Far Eastern ethylene manufacturers. At this time we have no firm charter contracts on these vessels, but we are in active conversations regarding their long-term use. On the first vessel in our existing 10 ship new build program, the Navigator Atlas a 21,000 cubic meter semi-refrigerated ethylene capable gas carrier is expected to be delivered late next month with further deliveries in that program at intervals of between two and three months until the April 2016 date when our last vessel, the 35,000 cubic meter ethane carrier is delivered. At this point in our new build construction program, it appears that everything is on schedule on budget. Now two events occurred during the quarter that are worthy of mention that had somewhat of a negative impact on our results. The first was an engine room fire on the Navigator Capricorn as she was loading a cargo of butane in the Baltic Sea. Unfortunately no one was injured in that fire but the vessel was out of service for repairs and although the cost of the repairs are covered by insurance, cost 47 revenue days which are not covered by insurance. Again we are very thankful that no crew member suffered any serious injury in that accident. The second untimely event was the ballasting of the Navigator Leo, one of our two ice-class vessels from Ulsan in South Korea, North of St. Petersburg Russia where she was to commence a 10 year time charter for Sibur, a Russian LPG producer. We have planned to return cargo on the vessel upon discharge in Ulsan but a two week delay caused by port congestion resulted in our losing the return cargo and having to quickly ballast empty for 41 days through the Suez canal all the way back to Russia to meet the December (lake in) [ph]. She now along with her sister vessel the Navigator Libra is on 10 year time charters with Sibur. While the first event is a pure accident possibly caused by human error, the second event that occurred probably self-inflected, in that we might have other vessels knowing that the Navigator Libra was going to time charter halfway around the world shortly after its planned discharge, but both of them show the uncertainty and unpredictability of shipping specially measured in short incremental time period. With that I would now like to pass the conference over to Niall who will review the actual financial performance of the company during the last quarter and for the full year 2013. So Niall could you?
Niall Nolan: Thank you, David, and good morning to everybody. As David mentioned, the past year for Navigator was one we saw large increase in our level of activity and operations as the fleet grew from 12 handysize gas carriers on January 1, 2013 to 24 vessels in the water at December 31, 12 months later and that number remains correct today. For reference we define handysize gas carriers as those vessels between 15,000 and 25,000 cubic meters or CBM. In addition, as you will invariably be aware we completed our initial public offering in November last year with the issuance of 13.8 million shares. And finally we have placed 10 new building orders as David mentioned five 21,000 cubic meter ethylene carriers, four 22,000 cubic meter semi-refrigerated gas carriers and the one 35,000 cubic meter ethylene carrier, which has LNG propulsion. These vessels are scheduled to join the fleet between next month April 2014 and April 2016. With the large number of increases in the number of vessels joined the fleet during 2013 as a consequence of taking on the 11 vessels from 18 more, revenue increased to 238 million, up from 147 million a year earlier and was the majority of this increase was as the result of fleet growth some of it related to improving charter rates which increased to an average of just under $860,000 a month or $28,262 per day during 2013 from approximately $780,000 a month a year earlier in 2012 up being $25,600 per day. Our vessel utilization reduced from a very high level in 2012 of 99.5% to a lower but nonetheless respectable 92.9% during 2013. And this reduction was primarily as a result of taking on the 11 vessels from AP Moller Maersk often in more amount of discharge ports and having to serve them to our initial load ports and get them into our chartering program. This had in a way a total whammy effect of both decreasing the utilization factors as they were not earning income during the balance leg to the initial load port but also it reduced the headline charter rates as we incurred voyage costs primarily bunkers and canal tolls in getting these vessels into position. And however in Q4 as David has already mentioned, we have the two separate instances which reduced utilization first to fire on the Capricorn for 47 days which has an effect or a potential effect of reducing the potential revenue by 1.3 million based on the average charter rate for 2013 and secondly with the Navigator Leo having to balance for 41 days back from Ulsan in South Korea through the Indian Ocean Suez Canal and up to Northern Russia to take on that 12 year charter. So not only did we not earn income for the 41 days where it was balancing, but we also incurred $770,000 of cost in selling to Northern Russia principally in fuel but also the Suez Canal tolls which for a Navigator type vessel costs $150,000 per pass. As a principal reason as David mentioned on the need to balance the vessel was that in part it was delayed in Korea by 35 days and that gave us little opportunity to find alternative cargos to help on the balance leg back. Combined these two issues reduced utilization by 4 percentage points on Q4 alone or 1.25% over the full year. Voyage expenses, which increased from 28 million in 2012 to 49 million in 2013 are costs incurred in carrying out the voyage charters principally comprising of fuel and bunkers and canal tolls and are therefore a factor of the space between time charters and voyage charters, and the increase in voyage expenses are compensated by increased revenue. Vessel operating expenses on the other hand are costs that we incur in running the vessels being principally crude costs, but also repairs and maintenance, insurance and so on. And the average cost per day for one our vessels during 2013 was $8,115 which is up 2.5% from the previous year at $7,916. Other corporate expenses increased to 3.5 million during 2013, significantly up from the 1.4 million incurred in 2012. However the majority of this increase 1.7 million in total related to the project feasibility cost expensed in the third quarter and these were associated with the evaluation of a terminal development opportunity. Interest cost rose dramatically from 8.7 million during 2012 to 28.7 million in 2013, as debt increased from an average 240 million in 2012 to 575 million at December 31, 2013 principally as a consequence of the 470 million we paid for AP Moller for their handysize fleet of gas carriers. However, net debt at December ‘13 was 380 million following the receipt of the proceeds from our initial public offering. And with the exception of our 125 million Norwegian bond which has an interest rate attached of 9%, our interest charges range between U.S. LIBOR plus 3% and 3.5%. The bond is a five year or was a five year instrument and has initial call option at the expiry of year two which is in December 2015. EBITDA for the 12 months to December 31, 2013 was a 106.8 million, 30 million of which was generated in Q4 despite the approximately 3 million to 4 million reduced effect from the two vessel issues that the Board mentioned earlier. This 107 million EBITDA for 2013 compared to 64 million generated in 2012. Earnings per share for the year to December 2013 was $0.89 based on the weighted average number of 46 million shares compared to $0.82 a year earlier based on a reduced 37 million shares in issue for that previous year, both of these share numbers take into consideration the 3 plus 1 stock split that was effected on October 29, 2013. Looking now briefly at the balance sheet, the most significant change reflect the initial public offering and the proceeds from it in the sum of $172 million gross, a $156 million after cost. Of course the acquisition of the 11 AP Moller vessels played its part on the balance sheet which were delivered between February and October 2013 and the related bank debt that we took on as a consequence of that. The balance sheet remained very strong and robust and this is important to the company and to the Board that it remains so with net debt at 380 million at December 31, 2013 or total debt at 575 million at that date and that equates to a debt to capitalization of 43%. Our total assets increased from 832 million at December 2012 to 1.3 billion at December 2013. We have 10 new buildings on order at an aggregate contract price of 502 million, the majority of which is payable on delivery. At December 31, 2013 we have paid a total of 58 million to the shipyard with a total of 190 million to be paid over the coming year as four of the vessels become, get delivered. Finance is already in place for these initial four vessels at the level of 60% loan to value or construction price. And finally the number of shares of common shares in issue at December 31, 2013 was 55,326,765 and that number remains correct today. And with that I will hand you back to our CEO, David Butters.
David Butters : Thank you, Niall. And Dona I think now it’s appropriate that you open up the conference out to questions and answers.
Operator: Thank you very much. We will now begin the question-and-answer session. (Operator Instructions). And our first question comes from Michael Webber from Wells Fargo. Please go ahead.
Michael Webber - Wells Fargo: Hey good morning guys. How are you?
David Butters: Good morning Michael.
Michael Webber - Wells Fargo: Hey, so just a couple of questions I wanted to start with utilization and move on to some new business but around the utilization impact on Q4, the fire then the deadhead, certainly seems like it’s non-continuing, but can you maybe talk, is there any bleed through into the first quarter? And then what you expect to be kind of the normal run rate through the remainder of the year?
David Butters: Sure, maybe Oeyvind can give us a feel of -- if at all, that it’s run into the first quarter.
Oeyvind Lindeman: Our target is to be above 95% and that’s being kind of our historic revenue average and that’s our target and we are aiming to beat that for the first quarter and so far it looks okay.
Michael Webber - Wells Fargo: Okay so, no bleed through in the first quarter that would cause you to miss your target -- your internal target, and that’s kind of the runway we should use for the remainder of the year?
Oeyvind Lindeman: Based on our seven year average, that I would kind of use that, yes.
Michael Webber - Wells Fargo: Okay, that’s very helpful.
David Butters: And Michael, a little color on that. As you know with extreme cold that we had in the United States and the drawdown of propane both because of the farmer issued during the late fall and then the real cold weather in December-January, you had pretty much of a slowdown in the exports of propane relatively in the East Coast and in the Gulf of Mexico. But we were able to offset that with imports. So the combination of being able to lose those revenues going out but the ability to bring propane into United States, principally into Newington, New Hampshire and Providence, Rhode Island; completely offset those lost exit. Now we’re back with an arbitrage and plenty of propane and we're back with a normal type of distribution at the moment with exports reaching what we would have expected them to be.
Michael: Okay, so we have already moved back to kind of normal trading patterns at this point.
David Butters: That’s correct.
Michael Webber - Wells Fargo: Okay, great, now that’s very helpful. David I wanted to talk a bit about ethane. I know you get a lot of questions about this, and it's still a market that’s developing. But maybe kind of back up and just kind of look at it, on kind of a big picture basis. How big do you think that market could end up being, and then within that trade we heard about VLGC size, I think carriers it seems like an awful large parcel size, and can you maybe talk about where you think the optimum vessel size is for that trade? Now obviously you’ve already acquired one, but maybe how you see this parcel size is trending and where you think that the -- the kind of the ideal vessel size ends up landing within that increase.
David Butters: Sure, Michael. I'll try to do that. First there is an awful lot of conversation going on at the moment, conversations are being taken place by ultimate users of ethane, producers of ethylene, with not only producers of the ethane in the operating mode of in the Marcellus and so on, but also with the terminal operators. And they range in every score from European producers to far Eastern producers. The spread that we're talking about remains quite significant. The difference between the ethane price in the United States and naphtha prices in Europe and naphtha prices in the Far East and of course ethane prices whether they be in Europe or in the Far East. So we know there are plenty of conversations. We know that ethane rejection is significant. It’s difficult to get a precise number, but it may be close to 300,000 barrels a day of ethane being rejected today which is enormous. Now, a lot of that is going to wind up ultimately in domestic market for ethylene production, but a lot of that is going to be produced, sent into international markets. The size -- so, I’m not sure but it could be in the hundreds of thousands of barrels of ethane to be exported over time. Okay, so what kind of vessels, it would depend on where they’re going. Now, clearly if they’re going to Europe, you have the potential of very large gas carriers, as you've heard [indiscernible] proclaim that they would like to build. Those large ones can be efficient, can be cost-effective, but they also carry with it certain obstacles or problems. Berth size is one and storage, receiving terminal is another issue. Storage is not a simple item. Storage for ethane is expensive because of the boiling point of that, and the kind of storage that you need. So if you have a very large gas carrier, you do have to consider incremental cost associated with added storage. We have been talking with the number of potential customers’ feel that the 35,000 certainly can meet a lot of substantial amount of demand and usage in the European space. In moving to the -- going to be moving ethane to the Far East where you want to maybe rethink that, because of the cost tonnage now. There are no very large gas ethane carriers. They do require some difficulties in adjustments and we will see if that segment develops, but I think -- in bottom line, I think there’s going to be room for a number of different types of vessels, volume is significant. Now I can’t tell you when this all going to begin. I think one has to look very closely and follow the events surrounding Sunoco Logistics open season what their Mariner East 2 pipeline that they have announced and processed. The Mariner East 1 is designed for both propane and ethane -- ethane to begin in the second half of 2000 or the first half of 2016. Mariner East 2, they’re still in the open season that is to close within a week or two weeks, we understand. We understand also that the delays are all about the expansion of the pipeline to accommodate even more product. And while there is no detail yet as to what products they’re going to put in, our suspicion is there is significant amount of ethane to be carried on that pipeline and nominated by producers to be put on that pipeline. I think following the outcome of that open season, which could be within the next two-three weeks, we will have a better fix on it. This is a whole new program that’s being developed and a whole new export. And a lot of things have to get in place. First, the producer and the buyer of the product have to have long-term pricing arrangements, and pretty much that has been done now. There is a accepted formula for it. They secondly have to find transportation from those field to the terminal site, whether that be on the East Coast or in the Gulf of Mexico. And the number of companies are working on those mechanics, the only one that’s really are advanced of course is Sunoco Logistics the Marcus Hook facility. Lastly they have to -- well, two other things. They have to work particularly [indiscernible] in the design and reconstruction of their ethylene facilities to accommodate ethane and from the change from naphtha. That is being done we know. And lastly they have to put in place the waterborne transportation and we are in discussions with these people at the moment. Nothing has been firmed up, but we are very hopeful that within the next three months or so we will have been able to tie down some type of transportation for these 35 that we are contemplating and the 35 that we are actually building. I don’t know if that’s helpful. It’s still developing but we have the strongest belief that it’s going to be a serious market it will not be the size of LNG it’s not possible to beat the size of LNG but it does have the element, the element of long term contracts, the element of being raw material to something bigger.
Michael Webber - Wells Fargo: Yes now certainly seems like it’s pretty MLP friendly, just one more and I’ll throw it over just to follow up on that. In terms of thinking about ethane exports from other markets sort of other places in East Coast and we hear a lot more about Europe and Asia. But if you just had to put a ballpark number on in terms of what inning we're in, in terms of securing the thing to first secure off-take agreement to Europe versus an off-take agreement to Asia? What innings of the various negotiations and not necessarily would be even may be just industry wide, where would you put that?
David Butters: I would put it on in second base if that’s appropriate. Yes, I would put it certainly on second base. We’re off of first base, we know that technically it can be done, we know there is plenty of reserves to be sold, we know that there is a pricing mechanism and it’s acceptable to the producers of the ethane in the Marcellus and we go forward in the rest of them. So, that is done. Pipeline and connection to terminals is what is moving very rapidly right now. But bear in mind Michael, in the case of [Technical Difficulty] it is already planning substantial volumes to commence early 2016 [Technical Difficulty] Marcus Hook. So Marcus Hook is well advanced as far the ability and technical capabilities of moving ethane through that facility, that’s going to happen and it’s on schedule as far as everything we know.
Michael Webber - Wells Fargo: Got you.
David Butters: So, it’s going to copied in the Gulf of Mexico, I know enterprises keen about it, cargo has the ability to do it very easily. It will come out of both the Gulf of Mexico and on the East Coast.
Michael Webber - Wells Fargo: Got you.
David Butters: I think when I see and hear about it, I am convinced that Marcus Hook alone could be an ethane export facility and not even bother with propane or butane, that’s how significant volumes we're hearing about in the Marcellus can be available for export.
Michael Webber - Wells Fargo: Now, that’s interesting. All right, so thank you David I appreciate it. That’s all I’ve got. I appreciate the time.
Operator: Thank you. Our next question comes from Darren Hicks from Evercore. Please go ahead.
Darren Hicks - Evercore Partners: Hi. Good morning.
David Butters: Good morning.
Darren Hicks - Evercore Partners: Your vessel operating cost in the fourth quarter were a bit higher than our expectations. Were there some unique costs perhaps with the Capricorn that you expect to be contained in the fourth quarter? And what should we expect to be the one way going forward for fully refrigerated, semi-refrigerated in the ethane carriers as well?
David Butters: Tommy maybe you can handle that question.
Tommy Hjalmas: Hi this is Tommy from Navigator Gas. The operating cost varies across the ship types and the age of the vessels and also with the complexity of the vessels. The more modern or the new ships are running after a lower number which is around the $7,000 per day market, up to the older ethylene ships, up towards the $9,000 a day market. The majority of that is crew cost, 60% over the running cost of the daily OpEx is crew. And we are using a formula crew where the majority is Eastern Europe crew Polish or Latvian and the ratings are Pilipino. Our ships are in a niche market and of a complexity that we cannot go with any other mix of crew, and that’s basically the answer on your questions. Regarding the Capricorn, there is not necessarily any costs which have been put in the numbers for Q4 on the operating cost more than using the time for some additional repairs and services when the ship was caught off service.
Darren Hicks - Evercore Partners: And we’re also trying to get comfortable with your forward contract coverage. Are you able to provide us with an update on that? Not sure if you disclosed any specific contract exploration dates or not, I haven’t seen anything, because it appears you may have secured some additional charters during the quarter, is that correct?
David Butters: Sure, maybe Oeyvind.
Oeyvind Lindeman: In terms of pure availability of coverage, fourth quarter average was 60% TC coverage and then at the end a snapshot 31 December, 17 out of the 24 ships were on time charters taking that up to 70%. So going forward, I mean we have an internal target about 70% plus minus, so we are comfortable with that going forward as well.
Darren Hicks - Evercore Partners: Okay great.
Oeyvind Lindeman: Sorry it’s not -- all of the details of the explorations of the charters are in the 20F.
Darren Hicks - Evercore Partners: Okay, great. I’ll reference that. Thank you very much.
Operator: Thank you. Our next question comes from Ben Nolan from Stifel. Please go ahead.
Ben Nolan - Stifel: I guess I want to follow on a little bit with respect to Mike’s question just in a different way. You guys in the past have looked at participating in a more active way in potentially on the terminal side. Any update on where that is? I mean is that still something that you foresee potentially branching into or has there been any progress in that regard?
David Butters: Thanks Ben for that question. Again I would say that the key to -- first, absolutely we’re interested in that, that's -- we’re quite interested in broadening our base, becoming more of a logistics player, being involved with our clients and our customers to accommodate the kind of infrastructure and logistic changes that’s taking place in the industry and have a lot of technical capabilities and knowhow and financial ability to be a participant. Now from that interest there is a long road and I think of the keys that we are looking at is the production or the logistics of moving more liquids from the Marcellus to the East Coast. Again, I would think that we would be looking at how active the Marcus Hook facility is going to be in the sense of Mariner East 2. When that is completed what kind of products will be coming out there, how congestion is that whole cargo going to be, if it is as I expected going to be very crowded and productive to be more outlets, more pipelines to the east, more terminals to be built, more facilities to be operated. We are talking to people at the moment and how we can be -- how we can facilitate all that change. Again nothing is tangible, but it’s a keen interest development that we’re watching very carefully.
Ben Nolan - Stifel: That’s helpful and then as it relates to would that maybe could translate into on the shipping side. If you did, if there were terminal of in approximate size of what we see at some of these propane export terminal, what type of shipping capacity will be needed to service that type of facility?
David Butters: May be Oeyvind would have a better feel of the actual size and volumes of vessels that would be acquired. Are you talking principally on the East Coast?
Ben Nolan - Stifel: Sure, yes, I would say that probably is for and going probably to Europe rather than Asia initially, yes.
David Butters: Sure, I mean there is plenty of volumes of new -- as we all know plenty of new terminals and expansion of existing terminals taking place in the Gulf of Mexico clearly as we all know that. But Oeyvind give us an idea of roughly what would happen if a new facility along the East Coast with a capacity of 60,000 to 100,000. Remember Marcus Hook probably, I shouldn’t speak but because it’s a Sunoco Logistics operation, 200,000 barrels, 225,000 barrels a day throughput through Marcus Hook would be a pretty significant operation.
Ben Nolan - Stifel: All right. And so that would -- how much shipping capacity would that need?
David Butters: By the way, they are operating nothing -- well I shouldn’t say, there are very small amounts are coming out of the NL because the first Mariner East One isn’t expected to completed until midyear this year. Oeyvind maybe you can follow-up with what I…
Oeyvind Lindeman: Yes, I think just if you're talking about barrels, US East Coast is of course near Europe and the Mediterranean consuming market compared to Gulf. The only existing export terminal in U.S. East Coast today is as David referred to Marcus Hook and if you are talking 200,000, 300,000 barrels a day throughput, I mean you are talking big numbers. Just as a reference, our ships handy gas carriers, we carry 150,000 barrels per cargo, per shipment. We as you see is about 500,000. So, I mean you are talking to introduce efficiency on these terminal projects from the East Coast, you are taking handy gas carriers and upwards in my opinion going to Europe, going to even to Caribbean competing with the U.S. Gulf exports from Caribbean markets, South America. And then of course the larger ships will then headed off to Asia the longer distances, so I mean I think the cut-off point is below 15,000 cubes, 100,000 barrel shipments and then you go up from there. It all depends on court restrictions on the receiving side, I mean European courts, some of them cannot accept larger ships and so forth, draft issues length overall. It’s a host of different factors that will influence the ships size and the export corresponding to those. And then on the Greenfield or terminal on the East Coast, I mean talking about new terminals, it’s hugely expensive to introduce fully functioned chilling capacity. So, I mean when our ship starts to [indiscernible] ships you can essentially just hook up to the pipe and lower ambient propane and then we become the largest ship, so it all depends on the infrastructure both size of the pond.
Ben Nolan - Stifel: Okay. So, just sort of backing into the fair work holiday, 100,000 barrel per day ethane export facility sourcing to Europe and it was done on handysize vessels. It might take as many as 20 ships to service that baseline cargo?
Oeyvind Lindeman: Yes, I mean from markets to gear up back is about 20, 22 days where you can factor that in and so you probably get up to the number, a bit less than the number you quoted. But however of course size matters as David Butters is talking to you with the Mark Webber on the larger size, the mid-size, we're building the 35,000 cube, I mean then of course you will reduce the number of ships needed again. But I mean it will be heavy traffic on that same, at least that’s our opinion and expectation on the Atlantic -- across the Atlantic, whatever ship size that is but again as David said, it is limited by infrastructure onshore.
Ben Nolan - Stifel: Okay, that’s perfect. And then my last question actually relates to more the market as it stands today. Could you maybe breakout what your current split is between carrying traditional LPG versus pet-chems and how much are the petrochemical gas that's contributing to the demand for your assets now and in the first quarter thus far?
David Butters: At least for fourth quarter and last year, we shipped in total 4.1 million tons of liquid cargos in total and that’s up by 1.5 million from 2012. All of that, we shipped last year 325,000 tons of petrochemicals which has been 8% of the total volume we carried last year. However, on the revenue side, because typically petrochemicals are longer voyagers and transcontinental because we on the larger ships typically are doing that going from transatlantic and over to Asia and so forth, so in terms of revenue, last year petrochemical was 8% in total number volume translates to 30% of headline revenue compared to -- and then the rest being able to GMM and minority ammonia. So that’s kind of the split we've seen. But the bread-and-butter still remains LPG for consuming markets in terms of energy and petrochemical feedstock. But petrochemicals, as you see on the revenue side, hugely important to us, and that is driven by demand arbitrage across the whole spectrum of products as then we can introduce now ethylene, propylene, butadiene, [indiscernible], C3C4 products.
Ben Nolan - Stifel: Okay in that same dynamic which you say is still in place now in the first quarter?
David Butters: It varies a lot from quarter-to-quarter, I mean just 31st December we have three ships; all to the 24 carrying petrochemicals at that time, and then one ammonia and the rest in LPG. I mean, it does fluctuate -- sorry it’s a bit difficult to say but it is usually important to us.
Operator: Our next question comes from Omar Nokta from Global Hunter. Please go ahead.
Omar Nokta - Global Hunter: The commentary you guys are providing have been very helpful. Just had a couple of quick follow-ups. Regarding some of the ships that roll-off charter here in the short-term as you mentioning going up to maybe 70% coverage. In the release you showed that as of year-end, the semi-ref vessels are fixed at about 910,000 a month and the fully refs are at 802,000 a month. Can we expect those types of rates going forward to some of these near-term rollout -- so can you give me a sense of where do you think that market is currently?
Oeyvind Lindeman: There are market calls from the various ship brokers, from [indiscernible] from Clarksons, from Gibsons, and so forth. And that indicates the performance within the segment which shall indicate our performance. So I mean the time charter markets is short-term, as we talked as you know -- I mean it’s 12 month typically and they do roll. And in that type of market we expect to get stronger rates. Just to size it out today will be in the fully refrigerated ship that we do have owned six. Our internal target was to get those ships on time charters. That’s now done on very healthy respectable levels. Why because those are less flexible in terms of carrying petrochemical changing grades going into LPG and petrochemical trades. That is done and we are pleased with having achieved that. But you are right, I mean in the type of market you would expect the rates to do well.
David Butters: And maybe Omar, kind of what the current rate, leading edge type of rate is today in that market.
Oeyvind Lindeman: Today, I mean the time charters settlement is about 950 for a semi-refrigerated 12 month time charter.
Omar Nokta - Global Hunter: Okay, that’s definitely higher. Okay, that’s helpful. And I guess just on the comments you made about the fully refs having been secured on charter, I notice that a couple of them seems to have either rolled off at the end of last year or early this year based off the table in your filing. Those you are saying those have been extended to defer in 12 months basically.
David Butters: That’s the benchmark in our segment. It’s typically 12 months. Sometimes it is six plus six, six months, six, takes typically 12 months, yes. Our coverage going into 2014 is higher than the coverage going into 2013 from ’12. So we are pretty -- we are confident and comfortable.
Omar Nokta - Global Hunter: Okay, thank you. And then just finally, I know David you’ve mentioned that the new building, the Navigator Atlas that delivers next month that hasn’t been fixed on contract as of yet. Can you give a sense of what you guys are thinking about doing with that ship? Is it that you intend to put that in the stock market from the get go or are you seeking maybe something along that six month to 12 month type of charter?
David Butters: I think Oeyvind is working on that now and maybe you can describe the way…
Oeyvind Lindeman: Essentially she is an ethylene carrier, or ethylene capable, the expectation and the plan for her is to go into a contract carrying ethylene from the Middle East to Europe, but in order to get here in position because we take delivery in Shanghai and there is currently are open for propylene going from Asia to Europe. So in the short term, we will try to optimize reducing balance. We are indicating on these propylene cargos from Taiwan, from Korea to Europe. They are short at the moment. So we'll see whether that flies. But the plan for 2014 for the uplift is to enter this contract that we do already have ethylene from Middle East to Europe.
Operator: Thank you. Our next question comes from the line of [Fortis Yanakus] from Morgan Stanley. Please go ahead.
Unidentified Analyst: I want to ask you if you can give us a brief update of the LPG trade market and describe us shortly how the seasonality works? And what kind of rate do you see in the market during first quarter? And also if you can comment about the 2-10 year contracts that you signed? And how do this rate compare with the current market given the longer duration of this charter?
David Butters: Sure and I will answer the question on the -- I will let Oeyvind give you a flavor of what the current market is at on the two charters with SIBUR. They are 10-year charters that we entered into about a year and half ago. I think the rate is 780,000 a month, can you verify that for me Oeyvind, seven?
Oeyvind Lindeman: It’s there about, we cannot give out individual charter rates David and we are bound to confidentiality on that one.
David Butters: And that’s why I -- that kind of answers but why we did that was very simple. These vessels were being built by a third part and they were being built as ice-class vessels needed for this Russian petrochemical company, SIBUR. We took delivery of -- we were taking delivery of that and we were approached by SIBUR to charter them on a long-term basis. I view as if we did not charter them to SIBUR and they were ice-class then they would have to go out and build those two vessels independently and that would add to the fleet, the overall fleet in handysize vessel and that something we didn’t want. By tying them down on a long-term basis, we prevented that from happening, in addition was right around that time when we were negotiating with AP Moller Maersk for the acquisition in the tune of $500,000 million for their fleet. Ability to tie down two vessels long-term secured with a good financial credit was highly appealing and that would give us more of the ability to finance the acquisition of the AP Moller fleet. So it’s a strategic and very timely move on our part that did two things for us, it prevented any additional vessels coming in because they didn’t have to go out and build ice-class, and we provided the platform financing the AP Moller vessels. Oeyvind, now why don’t you talk about the flavor of the current market and particularly the shifting that is taken place with the cold weather?
Oeyvind Lindeman: So Fortis as David initially mentioned about this reversal of trades, U.S. typically from the [indiscernible] is long LPG and they were pricing thereafter to sell to create the market to find buyers and then you have these fleet arctic vortex several of them in fact in the North and also midcontinent reversing the whole trade flow. Suddenly it was attractive for European importers to export it back to the U.S. and that created strong demand for shipping typically the handysize parcel or the quality that we can deliver was attractive for the U.S. importers because nobody wanted to be left. So once that changed, the reversal again nobody wanted to be left with too much inventory to tax. So the trademark was driven out on these spot size going transatlantic reversal propane trades. We did a few -- we did four or five of these spot trades, however some of our time charter ships also went over there, so I think for Navigator, I think we -- on our ships on our tonnage, we imported 75% of all the propane that went back into states. And that was perceived and that was healthy. In general, as I mentioned, the broker estimates on five charters is hovering around 950, spot markets can fluctuate plus or minus on that depending on trade and opportunity and the time of the day, but you mentioned that you wanted to shed some light -- for us to shed some light on seasonality. Seasonality is not such a great factor anymore in LPG used to be that the winter lot of activity, summer a little bit lackluster, today there is so much LPG out there, it needs to be moved so doesn’t really matter and also in propane is kind of the master product in the winter time because people use it for energy, for heating, but in the summer and we’re getting requests now for butane shipments, so butane will take over from propane in the summer so the seasonality I would say is being eroded and it’s even keel on the LPG trade.
Unidentified Analyst: Thank you, that’s very helpful, but can you also give us a brief update of the ethane projects that they are currently under development. As far as I understand the only contract that has been signed is this forever vast vessels for the vastness steam cracker but we have heard about the Grains Mount project. Is this something that you are discussing or are there any other projects that you find as potential source of long term charters?
David Butters: I’m going to let Oeyvind answer the question but let me just make an introductory comment that for this we are of course actively involved in discussions with a number of potential ethylene manufacturers, urgent and importation of ethane and we of course respect the confidentiality of those and they’re critical because of their competitive nature of producers of ethylene but Oeyvind will try to give you so we have to be somewhat cautious.
Unidentified Analyst: I fully understand and thank you.
David Butters: Oeyvind, you might give us an idea of Grains Mount for example as a limitation on what kind of vessel can get in there.
Oeyvind Lindeman: I mean that David spent some time initially to talk about ethane and our view on those developments. However you mentioned focus -- you mentioned Grains Mount [indiscernible] as an ethane and ethylene cracker in Grains Mount in North Scotland or close to Edinburg that cracker importing terminal is situated inside a lot, physical limitation, so regard to our building a 27,000 cubic ship but it’s large in terms of beam that can enter that particular unique port. Now if we talk about our own 35 or inside ship, that ship can access all other ports in Europe and Mediterranean and the interested parties we talked to are quite keen to learn about the freight economics, the advantages that we can provide in terms of not only that particular ship type but also our ability to provide a backup contingency plan if something goes wrong with that ship creating that [indiscernible] pipeline because we as you know we have 10, 21000-22000 cube ethylene ships, the largest fleet out there, that can carry ethane so because of that positioning that we do have and our interest in developing ethane shipping, ethane and have a strong balance sheet we are part of numerous dialogues with producers, suppliers of ethane both in Europe and also in Asia.
Unidentified Analyst: Thank you very much, one last question, it’s more on your capital structure, you have a very strong balance sheet and obviously you have some charters with long-term contracts that you can raise a lot of debt and the market is booming right now, how are you planning to utilize this cash and I’m talking about apart from further new buildings, it seems that the second hand market is very shallow, are you thinking of potentially buying back stock or giving dividends to shareholders at some point.
David Butters: We just had an IPO, look I’ve never been in a situation with so much potential opportunity, the whole infrastructure logistics, gas, of liquids changing particularly in the United States, all the infrastructure upheaval and that’s why it’s taking so long for example to move ethane out of the country even though the demand is there and the pricing is there. With a strong balance sheet, with an intellectual and emotional interest in all of these developments in the infrastructure changes, I certainly want to and I would hope to find opportunities to expand our business in a broader logistical way. First objective clearly is to protect our market. Our market is the handysize business where we dominate right now. We have a strong, very strong competition in that. We’re going to protect that, but we’re also and there are very few vessels that we could acquire that are in the water today, just maybe three would be of interest. So expansion within our own sphere at the moment is limited. Our interest in other sizes is limited with the exception of this industrial type shipping that ethane is and that will be built upon long-term contracts when we get there. And the infrastructure place because of pipelines, terminals those things are up for graphs. And the people with the interest, with the capability, the knowhow and knowledge of handling gasses and gas liquids are going to be the players of this, so for the foreseeable future, we’re going to keep that balance sheet, keep it strong. And as I look out that cash position is close to $200 million shouldn’t change, if we do nothing further that cash position will stay around. Now if we can’t find anything, if there is nothing that we can do unusual and exciting and very profitable, then we will consider dividends or depending on the price stock buybacks. But because we totally have an interest in shareholders, there are some shareholder including myself we’re interested in this stock and then part of the company. And if we can’t find intelligent uses of something and give it back to our shareholders in one form or other. But I’m hopeful, we do fine some exciting profitable opportunities and we’re working hard at that I can promise you.
Unidentified Analyst: Thank you, David. Appreciate your time.
David Butters: Welcome [indiscernible] Donna unfortunately, we have run into an hour and I think we could take one last question if that’s available.
Operator: Thank you. And our last question comes from the line of Andrew Casella from Imperial Capital. Please go ahead.
Andrew Casella - Imperial Capital: Most of my questions have been answered but I just had a quick follow-up on the 35,000 cubic carriers you are building. Could you just remind us of the economics from a new build pricing and now that you’ve had some chance to shop that asset around, what kind of return profile you think you could get as far as the rate is concerned on that, on that ship?
David Butters: Tommy now you might give us an idea of what -- I’m not sure what is confidential and not on that type of vessel, but why don’t you give us a rundown of the…
Tommy Hjalmas: Yes this is Tommy. This is one of the most complex ships in the water which is being built with dual-fuel LNG propulsion. I believe what the question is what kind of cash on cash we’re expecting from it. And new building generally will give you 8% to 12% and I think we’re in the upper rates of that on this particular ship.
David Butters: I think we’re well beyond that Tommy but.
Tommy Hjalmas: But I didn’t read out, is that the question if you needed more information on the type of the vessel or.
Andrew Casella - Imperial Capital: No I just wanted to just have you remind us on what’s the new build cost of that, so I think it was like 75 million to 80 million of the cash and cash return and then just what are the expectations for daily vessel OpEx on the vessel.
Tommy Hjalmas: Normal LPG ethylene carrier today would go from $50 million to $55 million. The 35 would be a premium I hope or I can say round about 80 million plus for such a ship.
Andrew Casella - Imperial Capital: And the daily vessel operating expense is similar to your consolidated number?
Tommy Hjalmas: The first three-four years is not similar to one the operating cost we have for existing ships. So it’s round about $7,500 and $8,000 a day.
David Butters: I think the best example of the type of business that I think ethane will evolve around, if you look at GasLog because that’s a public company with good reporting very clear on what they’re doing and with recurrence and so on. That’s a kind of business was secured by the long-term contracts and thus high cost vessels unique position. Look at that type of company, that’s kind of a role model for ethane.
Andrew Casella - Imperial Capital: Got it.
David Butters: Okay, well, thank you Donna, and you can wrap it up and I am very happy that you all join us in this first, which will be many more earnings conference call.
Operator: Thank you very much. So that does conclude our conference for today. Thank you for participating, you may all disconnect.